Operator: Good afternoon, ladies and gentlemen, and welcome to Beacon Roofing Supply's First Quarter 2019 Earnings Conference Call. My name is Latif, and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be conducting a question-and-answer session towards the end of this conference. At that time, I will give you instructions on how to ask a question. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. This call will contain forward-looking statements including statements about its plans and objectives and future economic performance. Forward-looking statements are only predictions and are subject to a number of risks and uncertainties. Therefore actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors including, but not limited to, those set forth in the Risk Factors sections of the company's latest Form 10-K. These forward-looking statements fall within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding future events and the future financial performance of the company, including the company's financial outlook. The forward-looking statements contained in this call are based on information as of today, February 7, 2019, and except as required by law, the company undertakes no obligation to update or revise any of these forward-looking statements. Finally, this call will contain references to certain non-GAAP measures. The reconciliation of these non-GAAP measures is set forth in today's press release. The company has posted a summary financial slide presentation on the Investors' Section of its website under Events and Presentations that will be referenced during management's review of the financial results. On the call today for Beacon Roofing Supply will be Mr. Paul Isabella, President and CEO; Mr. Eric Swank, Chief Operating Officer; and Mr. Joe Nowicki, Executive Vice President and Chief Financial Officer. I would now like to turn the call over to Mr. Paul Isabella, President and CEO. Please proceed, Mr. Isabella.
Paul Isabella: Thank you. Good afternoon and welcome to our first quarter 2019 earnings call. We're extremely pleased to report a solid beginning to 2019. First quarter results are above our internal expectations and the Street consensus for both adjusted EPS and EBITDA. Gross margins were fantastic and operating costs were in line with our expectations and consistent with typical seasonality. A great start to fiscal 2019. Our gross margin execution continues to be a positive highlight for Beacon. The price cost relationship was positive during the first quarter, our third consecutive quarter of out-performance and impressive accomplishment driven by our disciplined approach to pricing as well as showing the value distribution provides within the roofing and building products supply chain. I'm excited to give you an update on several of our important strategic initiatives starting with the Allied integration. We have just recently passed the one year anniversary of the acquisition and the integration process remains on track and ahead in some areas. The branch consolidations have gone very well and we expect these will be completed over the next one to two quarters. We are utilizing both the Allied combination and a build out of the RSA service model to improve profitability and service. Our focus is around central dispatch and launching electronic delivery tracking. Lastly, systems conversions are going very well with only interiors remaining and that will be wrapped up this spring. It's also important to emphasize another important part of the Allied integration, the Allied team. The Allied acquisition added many extremely talented people, including two of our current division President's and field and functional team leaders. They have added valuable insights to our organization and the cultural fit has been – has exceeded our expectations. Their contributions combined with our very talented Beacon legacy team have built an even stronger company whose future is brighter than ever. As many of you saw firsthand on our Investors Day, our digital platform is an important element of our organic growth plan. We have a substantial leadership position in this area and we believe this creates unique competitive advantages for Beacon. But we're not resting, we continue to add separation between ourselves and our competitors in this area. We are adding functionality including the delivery tracking feature I mentioned earlier in a contractor project management platform aimed at improving their productivity. These have generated great customer feedback and we're rolling them out nationally later this quarter and throughout the rest of the year. These efforts are generating results. Customers using Pro Plus continue to rise and we're seeing a higher percentage of online purchases from digital customers. Great progress, but still a tremendous runway ahead as we push towards our $1 billion sales goal in this channel. Private label continues to be a major initiative for Beacon. A great example of how we drive sales and margin benefits from acquired companies. But remember that Beacon did not begin building out its private label offering until we closed on the purchase of RSG 3.5 years ago. We now have adopted Allied's private label brand, TRI-BUILT and we're adding new product categories, improving the private label penetration in existing areas. We believe this will enhance sales growth, increased gross margins and build customer loyalty. We remain focused on driving organic growth. Key avenues include the previously mentioned digital and private label, but also complimentary products and new greenfield openings. And we had now wavered on our long-term focus on growth from acquisitions, Beacon has many growth avenues available both within traditional roofing distribution and our newer complimentary products channels. There are many potential opportunities, but we'll always balance these with balance sheet management. Joe will comment more about our 2019 guidance in his remarks and we're optimistic about our outlook. I will say that January is off to a good start as we delivered organic growth in the 5% to 6% range. Finally, I want to provide a brief introduction of Eric Swank. In January, Eric was appointed to the newly created Chief Operating Officer position, a well-earned promotion for Eric after 14-plus years at Beacon, which included leadership roles in HR, Sales and Marketing and Operations. Hopefully, many of you had the opportunity to meet with him during our 2016 and 2018 Investor Days and he will be more visible in our future Investor Relation activities. I'm going to pass the call over to Eric before we move on at the Joe's financial comments. Eric?
Eric Swank: Thank you, Paul. As mentioned, I've been with Beacon since 2004 and participated in the Company's growth from $600 million in sales to what is now $7 billion Company. The past several years, I've been at the forefront of some of Beacon's most exciting growth initiatives including our digital platform. I see a Company that has a unique ability to lead this industry because of our size, innovative spirit, corporate culture and vision. Through small and large acquisitions, we've created powerful platform. But that is our differentiation, innovation and dedication to customer service that will spur significant outperformance in the future. I'm very excited to have this new opportunity. I look forward to working with all of you in the investment community. Joe, now I pass the call over to you to finish our quarterly review and guidance update.
Joe Nowicki: Thanks, Eric and congratulations again. Good afternoon everyone. I'll now provide additional detail in our first quarter and an update on our 2019 guidance. But first just to hit the highlights, I am very pleased to say that, we have exceeded both internal and Street estimates for sales, adjusted EPS and adjusted EBITDA. We did, what we said we would do and more. First quarter adjusted EPS was $0.60, which is $0.05 over our estimates and the Street estimates. Adjusted EBITDA was a record at $121.7 million, representing more than a 40% year-to-year increase. First quarter revenues increased 53%. Organic daily sales declined 3.5%, which reflects one additional selling day during the quarter. Total and organic sales were both above our expectations as well as being meaningfully above the Street consensus. Overall, pricing was up approximately 7 percentage points, with gains across all three product categories. The price increases reflect the previously discussed inflation occurring during the spring and summer 2018. There were no new price increases implemented. It is great to see that the industry pricing remained seasonally firm during the early winter months. Now moving on to gross margins. First quarter gross margins increased to strong 130 basis points year-to-year, from 24% to 25.3%. Overall gross margins benefited by approximately 110 basis points to the favorable margin profile of our acquired businesses as well as synergy contributions related to Allied. Our existing market gross margins improved 20 basis points as price cost was again positive. This marks the third consecutive quarter of price – positive price cost impact, another strong achievement. Our strategic initiatives around product procurement, customer pricing and private label expansion are all paying significant collective dividends to our gross margin performance. And they have only just begun. Adjusted operating expenses were $336.4 million, which was within a couple of million dollars of our internal projections. This represented 19.5% of sales and was aligned with our normal sequential patterns as a percentage of sales. If you look back over the last couple of years, you'll see the same trend in rate of change. So again, no big surprises in the OpEx line this quarter, but still something we're continuing to work hard on improving. Cost improvement has always been a part of our culture. With regard to synergies, we remain on track for our full run rate target of $120 million and our fiscal 2019 objective of $100 million. As Paul outlined, all of our integration efforts are progressing as expected. Before I move on to an update of our 2019 guidance, I want to spend a few minutes providing some additional color on our balance sheet. Our debt balance rose to $3.1 billion, primarily as a result of 338(h)(10) tax election as part of the Allied Acquisition, coupled with the timing of AP payments. As you may recall from our prior discussions, we were able to structure the Allied transaction in a way that would allow us to benefit from a greater amount of tax savings. This election cost us $164 million in Q1, but we'll provide almost $400 million in future tax benefits. We remain committed to lowering our debt and reaching of 3.0 target for net debt leverage. Lastly, I want to speak briefly on our 2019 guidance. At this early stage of the year, we believe it's appropriate to keep our sales, adjusted EBITDA and adjusted EPS outlooks unchanged. We're off to a great start to the year with Q1 results, exceeding our Street estimates and our forecast by $0.05 and January sale seeing solid positive organic growth. Our industry is very healthy and our strategy is on target. We certainly have a bright future ahead of us. I'll now turn the call back to Paul, before we open up the line for your questions.
Paul Isabella: Thanks, Joe. And to reiterate, we are extremely excited about the great results to begin fiscal 2019. And as Joe said, we're comfortable in our outlook for the remainder of the year. And as always we will update our view each quarter. Organic growth programs including digital are performing very well. We remained committed to expanding EBITDA margins this year and beyond through continued price costs execution in leverage of operating costs. As I've said many times in the past, we're in a great industry with many solid fundamentals such as the high R&R content, which is in the 70% to 75% range for us. I am bullish about our future of growth, expanding margins, and a strong balance sheet. With that, I'd like to turn the call back to the operator and initiate the Q&A portion of the call. Thanks.
Operator: [Operator Instructions] Our first question comes from the line of Matt McCall of Seaport Global. Your question, please.
Matt McCall: Thanks. Good afternoon, guys. So maybe a little bit more insight into the SG&A outlooks specifically as we moved through 2019 and I want to kind of tie this into the Op margin expectations. I think our publish model has some year-over-year margin expansion returning next quarter on the operating lines. So just wondering what's assumed in the unchanged guidance on either or both the SG&A and Op margin lines.
Joe Nowicki: We don't actually give guidance at the level of margins or operating expenses to that level. We really focus on the EPS and also on the adjusted EBITDA range to it. Well, I will say on the operating expenses for the current quarter, we were in line with where we expected to be both from an existing market perspective, but also even more importantly from a total operating expense perspective as well too. We're seeing when you do the math on our total operating expenses adjusted. We're saying that the synergies that we talk about are according to the numbers as providing the benefit that we had hoped to. So we think that will continue.
Matt McCall: Okay. Okay. All right. What about free cash flow expectations for this year? And then I'd love to hear some updated thoughts on the leverage targeting – the EBITDA guidance didn't changed, the outlook for 2019 didn't changed, did anything changed from deleveraging perspective?
Joe Nowicki: Yes. So from our long-term strategic perspective, Matt, nothing is changed from our debt leverage perspective. Our intention is still to get to the 3.0 point. So that element of it is not changed for us and as we said, that's all a function really of one our continued paying down of debt as we will, combine with our EBITDA generation piece, right. And both of those two on track, that'll affect the timing of how quickly we get down to the three of that still the path that we're on. Free cash flow, I think, we'll just to confirm the same numbers that we had mentioned last time, as we said last quarter, we gave our guidance for the full year and we talked about free cash flow number of the range of $200 million to $300 million for the full year based on the guidance that we gave that's built into the numbers outlined. Hope that helps.
Matt McCall: Yes. Thank you, Joe.
Operator: Thank you. Our next question comes from Trey Grooms of Stephens Incorporated. Your line is open.
Trey Grooms: Hey, good afternoon. Thank you for taking my question. So sales were very strong, better than you were expecting. It was – are there anything specific you could point to any geographic region that outperformed? So if you could just talk to where you may have seen that better than expected volume.
Paul Isabella: Yes, I mean – I'll just comment on that without getting into an awful lot of detail. I mean, it really followed what we had talked about very closely to some extent in the fourth quarter call, right? That the east side of the country saw reasonably good volume and the west – our western regions had that same challenge that they had throughout the year were down. So I mean, we actually saw some good organic growth in our non-western divisions, which is very encouraging, right, as we went through the quarter. But it couldn't overcome the deficit that the west created.
Trey Grooms: Got it. And on my follow-up, so there's several of the manufacturers on the residential side are out with price increases for come March, April timeframe. How are you guys thinking about price action internally, timing, and just kind of the outlook as we go through the year? I think, I know the answer to this, but I'm just kind of the outlook, as we look to the year on price-cost, given that we know there are a few announcements out there currently for that March, April timeframe?
Paul Isabella: Yes. We know that. And as we've said at this time of the year in the past, it's really too early for us to tell. We'll continue to watch it. We'll continue to watch how that might impact the markets will be accepted and then we'll react from there. As you know, for 2019, we had said that we would not see any new price. We said that on the last earnings call, which imply that we would just run through the increases that we saw. And then they eventually would lap and go through the balance of the year. So we feel comfortable right now, right, because we were pretty good at gauging the market. And then we'll make our judgment as we go through these next two months as to what we're going to do in terms of us announcing, et cetera.
Trey Grooms: Got it. Thanks for answering the questions. Congrats on a great quarter.
Operator: Thank you. Next question comes from the line of Trey Morrish of Evercore ISI. Your line is open.
Trey Morrish: Thanks for the time guys. So the first question, I want to get on it is also talking about a little bit of pricing, but taking a different angle on it. So you've definitely shown the ability to get priced in an inflationary environment. And you just talked about how in 2019 you don't really anticipate pricing sticking, but given the industry's history of existing within price deflation for the last several years, excluding last year, could you talk about potential challenges that if this turns into a deflationary environment, how you would think about holding where your price is at?
Paul Isabella: Yes, well, first, we didn't say that prices wouldn't stick. We said, every year the manufacturers typically announced at this time we do. We do our analysis of the market and then we react from there, last year we reacted and reacted multiple times and we did quite well. And from a deflationary standpoint, we have also, if you look in the past when there is heavy deflation, right, as economy based, I think we did quite well at controlling pricing vis-à-vis cogs, input costs, as we went through the year. So of course, we cannot predict, what's going to happen this year at all just as you can. But we will react to it. We believe because of our size, because of our sophistication that will – in either scenario we'll do quite well. Because our team reacts very well to either one of those and we've proven that through times.
Trey Morrish: All right. Thanks for that. And then turning to your revenues generated from Allied and some other acquisitions, last quarter, you were kind of talking about that being a $600 million number in the quarter, but that clearly was ended up being more north of $700 million. Could you talk about, if there's anything in excess of what happened in the larger environment that was stronger at those Allied or the Allied Beacon combined branches relative to what you saw in your legacy branches?
Eric Swank: Sure. I'll just give a general overview. And then I'll let Paul kind of comment some as well too. First, just, yes, the sales number for the acquired roughly that $700 million, $713 million for the quarter. One of the things that make the challenges, when we do combined branches to one we will combine some branches together. So part of our synergies was taken two branches that were close to each other combined. And when we combine them, we move all those combined revenues into the acquired buckets. So we start to call them acquired. So even if there was a Beacon branch that previously was existing, we roll it into the acquired number. We do that because we want our existing to really be an apples-to-apples comparison for you, right? We didn't – we wouldn't want to have it be artificially inflated. So some of what you see with the number growing and some of those combined branches in there. Overall, I don't think the results of operations from our acquired company in Allied really where any different than the operations on the Beacon side of the business, but Paul?
Paul Isabella: No, I think very consistent as we look at them. And again, as you know now, we're in the lapping period, right? So we're all one big Beacon because Allied has been with us after that quarter for year. And there's no doubt as we've talked about at the Investor Day as we launch RSA, which is Allied great productivity, we're driving within these big markets, dense markets. There's movement between branches in terms of where product to shift from, right? So that's going to change some of this. So it really what I'm saying is, to us, it doesn't matter now. I mean, we have branches, they're all Beacon and we're moving forward in that fashion and each one is measured by themselves.
Trey Morrish: All right. Thanks very much guys.
Operator: Thank you. Our next question comes from Mike Eisen of RBC Capital Markets. Your question, please.
Mike Eisen: Good afternoon, gentlemen. Thank you for taking the questions. Just want to start off in looking at some of the industry data and what we're seeing on the ground. It looks like, there was a lot of shipments out from the OEMs, and looking to the inventory levels that you guys post today that seems a little high too. Can you talk a little bit about what you're seeing in the channel and what inventory builds look like, if there's anything to take note of there?
Paul Isabella: Yes, there isn't. Our inventory is actually, when you look at it, it's in great shape. Sequentially, in past years, we've seen a slight build from Q4 to Q1. That's natural. I'm not going to comment too much on ARMA other than as you would expect. With ARMA, there was product that was shipped into storm regions, East coast mainly because of the hurricane. And then in the areas that are, we've seen some challenges with, there were less shipments. So the correlation again between ARMA and sales is pretty wide and we just don't like using that. From a channel perspective, I really don't have too much intelligence other than our own inventory. And as I said, we're in actually a great. We've great position with that level as we go into through this quarter, as we go into the spring. So nothing unusual has happened with us.
Mike Eisen: Got it. That's really helpful. And then if I can follow-up with a little clarity on a couple points you guys made in the prepared remarks. First on the January organic growth, you mentioned 5% to 6% across the portfolio and you also talked about in the fourth quarter pricing of 7% across the portfolio. Can you give a little granularity across the different segments high? Is that the same everywhere or some segments outperforming others?
Paul Isabella: Yes. We're not – we won't comment on that level of detail as we have done in the past for the first month. We do have that total number, we're very pleased with it. And from a pricing perspective, going into January, we wouldn't comment other than as you can imagine, it's going to be very similar to what we saw as an exit rates for our Q1, right? So when you look overall, it's healthy for us, it's a change from the fourth quarter organic growth price and then – but again, it's January, but it's positive for us and we're happy about it.
Mike Eisen: Understood. Thanks for taking the questions and congrats on a good quarter.
Operator: Thank you. Our next question comes from Garik Shmois of Longbow Research. Your line is open.
Jeff Stevenson: Hey, this is Jeff Stevenson on for Garik. My first question is on the rate of gross margin. That's as a documented well ahead of expectations due to digital, private label and other things mentioned in the prepared remarks, but just wanted – or if you could comment on how sustainable you think that is throughout the year?
Joe Nowicki: Yes. This is Joe. So yes, we feel real good about the gross margin rate that we saw in the quarter and for all the reasons that you mentioned, right. Everything that we've done through our procurement teams, through the synergies, through the Allied acquisition, not to mention the elements around digital and private label. And all those will be continuously go through. We feel pretty good about our ability to continue to sustain our gross margins to the rest of the year. It was very positive.
Paul Isabella: As we've said in the past, we don't give. We're not going to give quarterly guidance on gross margin, but there's no doubt, we're seeing the nice benefit from the Allied Acquisition, which we talked about for sure and our continued improvement from a process standpoint on pricing, et cetera. So we believe, we're in a good position when it comes to gross margins as we go forward. And we're going to continue to focus very, very hard on it.
Eric Swank: As always, there is seasonality in our gross margins that impacts it by quarter. Traditionally, you'll see the gross margins and – if you look historically over our numbers just see the gross margins in the second quarter, what we're in right now, usually, it'll be a little bit lower. So I expect you'll see seasonality, but sustainability for the long-term, absolutely.
Jeff Stevenson: Okay, great. And now shifting to the interiors business. I'm just wondering from what you're seeing, is there any change in market outlook given deceleration concerns on the housing side?
Paul Isabella: Yes, we – again, in terms of specific to our interior business, we haven't given public comments. I can say that, of course we watch economic indicators. At this point, I don't have any concerns. I mean, we have a very solid business, we like the interior business and I'll just leave it at that. We are performing very well.
Jeff Stevenson: Okay. Thank you.
Paul Isabella: Thank you.
Operator: Thank you. Our next question comes from the line of Kathryn Thompson of Thompson Research. Your line is open.
Kathryn Thompson: Hi. Thank you for taking my questions today. This is really for both interior and exterior products. Could you quantify or add some color on the weather impact in the quarter? And also just as a follow on to that, what if any impact you saw in January with Polar vortex. Because if you were growing kind of that 5% to 7% even with that impact that would imply a better growth rate. So really just helping us understand that impact for the quarter reported and for January.
Paul Isabella: Yes. In terms of the weather, I'm not going to sit here and tick through the quarter. There's no doubt rains did not help us during pieces of the quarter. I mean, I won't – I'm not going to quantify the impact, right? We talk a lot about weather and there's no doubt in January a little bit. I think of that cold weather we saw, kind of evened out the month from a weather perspective. Interior is obviously less impacted by that, which means, as we've said in the past, it's very consistent from a – as a percent of sales shipped per quarter, which is very positive for us. I think I'd leave it at that without going blow by blow by month, I mean you can go to the rain data and there was a lot in the quarter. But there was also some decent weather here and there that were able to drive sales with.
Eric Swank: Yes. As we said in the last quarter, we're trying to get away from too much trying to be the weather person on these calls. And only really trying to address when there's major events. So I guess to Paul's comment…
Joe Nowicki: Nothing major to report there really Kathryn.
Kathryn Thompson: Yes, no, really the spear of the question is, just the applied growth rate would actually be better like some one-times. And just to clarify, on earlier question, in terms of your bogey for delevering in 2019. I believe you had said that you had wished to take out about another one-time turn into 2019. Is that accurate or is it more a half turn? Just really wanted to get that for clarification purposes.
Eric Swank: What we initially said, a year ago, during the Allied transaction was that we would try to get to somewhere around a half turn a year was our initial kind of goal. But really as we said, it was trying to get 3.0 is the point. That's exactly what we're trying to get to. It's just the matter of the timing and that really just dependent upon a lot of the EBITDA and the sales generation piece, right. Those are the two big elements that play into it. We can get there quicker, we can get there slightly slower, but it all depends on the EBITDA generation element to it. Clearly we're on a path to continue to pay down the debt and we demonstrated that last quarter when we did that as well too. So you'll see that continue. Nothing's changed in our outlook that way, Kathryn, still heading towards getting it to 3.0, the specific timing by year will really depend on that sales EBITDA flow.
Kathryn Thompson: Okay, great. Thank you so much.
Paul Isabella: Thanks, Kathryn.
Operator: Thank you. Our next question comes from Keith Hughes of SunTrust. Your line is open.
Keith Hughes: Thank you. A question on margin, the guidance implies about 8% EBITDA margin and you were off year-over-year. In this quarter with the synergy rolling in, do you think you'll get on the positive side of margins year-over-year starting in the second, or is it going to be in the seasonally stronger second half?
Eric Swank: Usually it's the seasonally stronger second half when you'll see the margins get on the upside of that. As you know, this quarter is usually the most challenging one because of the lower revenue piece to it.
Keith Hughes: Even on a year-over-year basis, you still think you'll be up year over year.
Eric Swank: Yes, if we look at that – each of the quarters, second, third, and fourth quarter should probably be up each. Correct.
Keith Hughes: Okay. And a quick question on demand. With the 7% surprising, units were down pretty meaningfully in the fourth. Looks like it's gotten somewhat better here in the first. With the unit decline primarily roofing driven or did you see it in all the segments?
Paul Isabella: For the quarter in all segments. But, as we've talked about in the past, roofing takes the more of the brunt of that because of the weather impact and what happened in the west.
Keith Hughes: Okay. I assume the pricing stays where it in – stays where it is right now. It contribute another 6, 7 points in the first – excuse me, in the second quarter as well.
Paul Isabella: Yes. We haven't – Keith, we haven't given that pricing guidance by quarter. We did – as I said earlier, we just talked about the fact that it's going to run itself out through the year with no incremental price. So all you have really have to do is go back quarter by quarter and look at the lapping and that change that's going to occur once we start hitting those positive comps that occurred really in Q3 – in Q4.
Eric Swank: By Q4, we'll get back to zero, so just pace it from there.
Keith Hughes: Okay. Thanks very much.
Operator: Thank you. Our next question comes from the line of Michael Rehaut of JPMorgan. Your line is open.
Unidentified Analyst: Hi. This is Blood on for Mike. I just wanted to follow up a little bit on that. Did I hear, did you mention that volume came in a little bit flat towards the end of the quarter. And maybe you could just the comment a little bit on the monthly trend throughout the quarter. I saw in the press release, and I think stabilizing organic net sales trends. So I was wondering how much of that related to volume versus price. Thank you.
Joe Nowicki: On your first question regards to – our comment on the demand during the quarter. No, we didn't say anything about demand kind of a decreasing to the quarter. That the comments you heard from Paul was obviously in January, we saw our year-over-year get better as we said that positive kind of 5% to 6% growth number. So I think a bit the opposite. So we didn't – it all talked about it declining any way. And there was a second question in there that I missed. Sorry, could you repeat the second question.
Unidentified Analyst: I was more talking about the monthly trends through the quarter and then how much of the January 5% to 6% organic growth related to volume?
Joe Nowicki: Yes. The second question, it was about the January, and I think Paul mentioned that before, we really don't give the price elements on a monthly basis, especially not at this point.
Unidentified Analyst: Okay, thanks. And one more thing I want to check up on follow-up on Investor Day, once again, you mentioned, you completed about 12 RSA's and one process is creating 30 additional RSA's. I was just wondering where you were holding that with the rollout and how that's progressing.
Paul Isabella: Yes. Without getting into specific details, it's going quite well as we talked about on the Investor Day, we're starting to see benefits. We really haven't talked about those benefits, but they will increase as we go through time and we do view it, as I said, at Investor Day, said it on the prepared remarks. We view it as a good differentiator for us and most importantly, a big help to our customer base. So it's going quite well.
Unidentified Analyst: Thank you.
Paul Isabella: You bet.
Operator: Thank you. Our next question comes from David Manthey of Baird. Your line is open.
David Manthey: Hi, guys. Good afternoon. So last quarter, I take that back, fourth quarter you told us that you had $25 million in synergy costs savings. What was that number in the first quarter and what is your expectation for the second quarter? Just to give us an idea of how the OpEx should walk?
Joe Nowicki: For the full year, we're expecting that $100 million-ish kind of target to it. And in terms of by the quarterly spread, we really haven't given it too much by quarter. You may see a little more in the – first quarter one was a little bit higher, so if you just take the $100 million, that's a $25 million a quarter. First quarter was a little bit higher because you have all those procurement savings that kind of roll into it and then they kind of go away after it in the second, third and fourth. But beside that the remaining quarters will be pretty level.
David Manthey: Okay. Thanks. And historically looking at those trends 2Q is typically been plus or minus a few million dollars sequentially from 1Q. Any factors other than what you just talked about there, Joe, that we should think about as it relates to that OpEx walk from the first quarter to the second fiscal quarter.
Joe Nowicki: Yes, that's a good question, Dave. Nothing comes to mind for me that I think what impact us, the traditional trend we see from quarter-to-quarter on the OpEx piece to it. So no, I don't think there should be anything. Synergies of course, as we just kind of described effect fact that total. But beside that, no, I don't think there's anything else unusual that I expect.
David Manthey: Okay. Thank you.
Paul Isabella: Thanks, David.
Operator: Thank you. Our next question comes from the line of Phil Ng of Jefferies. Your question please.
Phil Ng: Hey guys. Your commercial business has been a little weaker the last few quarters. I'm just curious what's driving some of the softer trends and how are you thinking about growth in that market? Some of the new dodge momentum index has been – has softened the touch, but it's always tough to gauge just because it's such a broad base as a end markets.
Paul Isabella: Yes. I'm sorry. It was difficult to hear, you're talking about a commercial market.
Phil Ng: Yes. The commercial business seemed to be a little weaker the last few quarters. I'm just curious what's driving the weakness.
Paul Isabella: Yes, I think, one, we have a very large commercial business with very intent and very focused on growing it. And I think, but they're just based on a lot of factors there's going to be variation from quarter-to-quarter. It's not going to necessarily match what Carlyle, for instance, might announce just because of the geographies that they're in and that we're in. But we know over time and more than a quarter, we're going to continue to grow that business effectively.
Phil Ng: Okay. There wasn't any like weather related issues or anything like that?
Paul Isabella: Well, again, if we got into the regional piece and broke it out, I mean it does follow suit with what we talked about in general. What I mentioned earlier, east coast, relatively strong west of the country Mississippi West not so strong. They sell a lot of commercials, so that's part of it, right as we go through and it's not a surprise, not unusual for us and that's just how we lay out geographically, which is a huge benefit for us because of our density and positioning in these markets. So we're going to continue to focus on it and it will grow.
Phil Ng: Got it. That's really helpful. In your interior business, both on the wall board and ceiling manufacturers have increases out there early in the year. If I heard you correctly, you guys aren't really planning to raise prices at this juncture for any of your businesses. So is your view that it's not going to see much traction or you're expecting some modest price cost squeeze?
Paul Isabella: No, no, I mean my comment was only geared towards saying when we see a price increase, so we get news of a potential price increase. We don't immediately need jerk. I mean we sit and evaluate what the markets are doing, what the markets are saying, where we're positioned, where the manufacturers are positioned and then we react. And as I said last year we reacted appropriately by raising price multiple times and you could see it in our result, now three quarters in a row, positive price cost. Obviously that'll bleed through this year. So no, we're at a position as we have been really for years at this point in the year to just evaluate what the markets look like and then from there we react.
Phil Ng: Okay. All right. Thanks a lot.
Operator: That concludes the questions. Now I would like to turn the call back over to Mr. Isabella, for his closing comments.
Paul Isabella: Great. Thank you. Thanks for your participation in today's call. As always, we appreciate the continued support from the analysts and investment community. And as always, we offer a special thanks to our valued customers, supplier partners, and our employees. Have a good rest of the evening. Thank you.
Operator: Ladies and gentlemen, that concludes the program. You may disconnect your lines at this time. Have a wonderful day.